Hanna Jaakkola: Dear all, warmly, welcome virtually to Helsinki and thank you for tuning in for Kesko's Q1 2025 Release Call. Today's headline is stable performance during the slowest quarter of the year and it describes well the first quarter. Our agenda today is the following; President and CEO, Jorma Rauhala, will first give the Q1 presentation. We have here together with us our Business Division Presidents, Ari Akseli for Grocery Trade; Sami Kiiski for Building & Technical trade; and Johanna Ali for Car Trade; as well as our CFO, Anu Hamalainen. After Jorma's presentation, it is time for questions both by phone and via chat function. All the materials related to Q1 can be found at our web pages, kesko.fi under Investors. My name is Hanna Jaakkola responsible for IR at Kesko. I will be at your service after the presentation for questions and discussions. But now Jorma, the virtual stage is yours please.
Jorma Rauhala: Thank you, Hanna. Ladies and gentlemen, welcome also on my behalf to this release call. I'm Jorma Rauhala and I have now the pleasure to present Kesko's Q1 results. Stable performance during the slowest quarter of the year is our headline. Yes, Q1 is seasonally the smallest quarter of the year and our performance was good despite the seasonality. Now, I will give an overview of our business performance and open up elements behind the result. In the end, I'll present the guidance and outlook for 2025 and we are ready for the Q&A. Summary of Q1 2025. Kesko's net sales increased and comparable operating profit decreased. In grocery trade net sales and profit were down as anticipated due to the timing of Easter and the implementation of the price program. In Building & Technical trade, sales picked up especially in the B2B segment in building and home improvement trade in Finland, Denmark and Norway. In Car Trade, net sales and profit increased. A balanced and comprehensive product and service portfolio supports the good performance in car trade in changing market conditions. Acquisition of Roslev, Tømmergaarden was completed at the end of January. Danish competition authorities approved the acquisition of CF Petersen & Søn without conditions. The acquisition is expected to be completed tomorrow. The profit guidance remains unchanged for this year. Comparable operating profit for the year is estimated to be in the range of €640 million to €740 million. Net sales in Q1 totaled over €2.8 billion. It was up by €68 million. Net sales increased in Building & Technical trade and in Car Trade. Rolling 12 months net sales increased to nearly €12 billion. In Q1, comparable operating profit was €95.6 million and operating margin was 3.4%. Comparable operating profit increased in Building & Technical trade and in Car Trade and decreased in Grocery Trade. Rolling 12 months operating profit was €646.2 million and operating margin was 5.4%. Return on capital employed was 11%. Return on capital employed increased slightly in Car Trade was flat in Building & Technical trade and decreased in Grocery Trade compared to the year-end. Financial position. There was a seasonal increase in working capital that impacted cash flow in Q1. The main reasons affecting the operating cash flows were increased inventory in Building & Technical trade as we were preparing for the upcoming season. In car trade, there was inventory of hundreds of rental cars up for delivery in Q2, and also new cars waiting for delivery. In grocery trade, cash flow was impacted by calendar as the last day of the quarter was Monday, while last year it was Sunday. There are typically large out payments on Mondays. Also, inventory growth affected the cash flow. Net debt-to-EBITDA was 1.6 below our maximum target of 2.5. We continued the investments in growth and the main CapEx was the Roslev acquisition the construction of Onninen and K-Auto logistics center in Hyvinka Finland and store site investments in grocery trade. In comparison period, there's a real estate arrangement with the store site investments and Davidsen acquisition. IT investments were €3.1 million. A large amount of IT investments are classified as OpEx instead of CapEx. We have a clear focus on improving our digital capabilities throughout the company. Other investments include among the other things logistics center Onnela. Expenses. Expenses were up mainly due to acquisitions. The largest item increase in the costs was the personnel expenses. Approximately half of the increase in personnel expenses came from the Danish acquisitions and half from the salary increases. Now to grocery trade. There was an expected profit impact from the timing of Easter and the price investments. In Q1, net sales totaled €1.5 billion and decreased by €29 million. The most significant reason behind the decline was the timing of Easter this year compared to the last year. Kesko's net sales declined by 0.5%. Rolling 12 months net sales totaled over €6.4 billion. In grocery trade, comparable operating profit for Q1 was €72.8 million and it declined by €9.7 million. The comparable operating profit declined as expected due to the timing of Easter and price program implementation. Kesko's operating profit declined by €1.4 million. Profitability was 4.9%. Rolling 12 months operating profit was €428 million and operating margin was 6.7%. In grocery trade, sales and profits were impacted especially by the timing of Easter which is the second most important sales season for the division. This year Easter was in April whereas in 2024 it was in March. K Group grocery sales decreased by 1.4%. Kesko's net sales decreased by 0.5% but still exceeded market growth. KCT market non-food sales decreased by 1.3%. The price program launched in January showed good results but as expected it had a negative impact on profit. Online grocery sales increased by 5.6%. The total grocery market growth was flat year-on-year. Grocery price inflation in Finland was approximately 1.8% according to Statistics Finland. Customer flows continue to grow thanks to the price program and campaigns but the average purchase decreased. In grocery trade, we are aiming for a market share turnaround. The decline in K Group's market share slowed down in 2024. According to the Nielsen IQ, the research published once a year and is the widest market share research K Group's market share in 2024 was 33.7% compared to 34.3% in 2023. Our market share in online grocery is above 40%. Withdrawal from the Neste K service station business and closure of smaller K-Market stores had an over 0.2 percentage point negative impact on market share, but a positive impact on profit. In 2024, the total number of K Group grocery stores decreased by 80 units of which 65 were Neste K stores. According to Nielsen IQ Statistics, growth in Grocery Trade has been driven by larger stores. If we look at the first quarter of 2025, K Group's market share development was in line with the market in the hypermarket segment, which indicates that our actions including the price program are working well. The market share turnaround in Grocery Trade focuses on quality, price, and store network. To improve quality, store business ideas are being refined with investments particularly in certain departments like bread and fruit and vegetables. Extensive relevant selection are created by data and AI and digital services are being developed to make everyday life easier. The price program launched in January includes affordable everyday products. Prices have been cut on 1,200 popular products. There are also relevant campaigns and personalized benefits. Kesko and retailers invest jointly approximately €50 million to the prices in 2025. Store-specific price investments are also being made depending on the market situation. Investments in the store site network include 30 new store openings and 92 stores renewed between 2024 and 2025. There is a particular investment focus on hypermarkets with eight new or replacement K-Citymarket stores planned by 2028. Annual investments are expected to be around €200 million to €250 million in the whole grocery store site network. In Building & Technical Trade, pickup in building and home improvement trade supported sales and profit. In Building & Technical Trade, net sales increased by €69 million to €1 billion. The increase was supported by the Danish acquisition, but net sales increased in comparable terms too by 3.6%. Rolling 12 months, net sales were over €4.4 billion. The timing of Easter supported the sales as there were more trading days in March and less holidays. Comparable operating profit for the Building & Technical Trade division totaled €11.7 million and operating margin was 1.1%. Rolling 12 months operating profit was €174 million and operating margin was 3.9%. Comparable operating profit increased, thanks to positive profit development in building and home improvement business and the Danish acquisitions. Building & Technical Trade highlights for the first quarter. We can see the construction cycle turning. Demand is stronger, especially in building and home improvement trade. Growth in K-Auto sales in Finland has been driven by B2B sales with a significant increase, especially in sales of heavy construction materials. The growth in timber for example was double-digit. The B2C trade has also picked up. Sales for Onninen Finland fell short of the comparison period but also in technical trade. If we look at the product lines, we can see the HEPAC products and certain electrical products picking up in Onninen Finland. These are the products that are used in the early phase of construction. For our customers as well ourselves, the amount of tender requests for projects and product prices have clearly increased. Building and home improvement trade sales in Denmark and Norway have increased, with Onninen Norway also reporting higher sales. Technical trade sales in Sweden are clearly up. The converted to CBI store ramp-up is still ongoing and affecting the sales. Sales in Poland have slightly declined. Sales of heavy construction materials is up in building and home improvement trade. Other product categories like decoration typically follow with a slight delay. Post-cyclical technical trade usually picks up some six months after a turnaround in building and home improvement B2B sales. Credit risks are well under control. Write-downs of overdue trade receivables totaled €0.3 million. Kesko Senukai did not report its financial asset scheduled. In Kesko Q1 2025 reporting the share of the result from Kesko Senukai is €0 million compared to minus €0.4 million the year before. In this picture we can see K-Rauta and Onninen sales development in Finland since 2019. We have showed this picture many times already. And here you can see the Q1 development too. K-Rauta is the market leader in building and home improvement business in Finland and Onninen in technical trade. K-Rauta having over 50% market share and Onninen a bit less than 50%. This picture describes the Finnish building and technical trade market well. We can clearly see now the late cyclical nature of Onninen business lagging a bit behind K-Rauta. Last year it went surprisingly hand-in-hand. For the Q2 2025, the quarter has started as expected and especially B2C trade has grown clearly. This is Byggmakker sales development. Norway is our second-largest operating country and Byggmakker is among the largest players in the market. After several quarters of weak development, the Q1 sales development has been clearly improving. For Q2, Easter had a significant effect in Norway. In March, we had two trading days more in 2025 and in April two day less. Also in Norway there is a significant amount of holidays around Easter affecting B2B activity. For the whole division, as we have been saying for a long time, we estimate that the construction cycle turns in 2025. We are now seeing the clear positive turn in building and home improvement trade and we estimate that the technical trade will follow in H2. Car trade Q1, strong position in different areas of car trade supported profit development. In car trade, net sales for Q1 increased by €28 million and were €314 million. Net sales increased in all businesses, new cars, used cars and services, as well as in sports trade. Rolling 12 months net sales were over €1.2 billion. The comparable operating profit totaled €17.9 million and increased by €1.5 million year-on-year. Operating margin was 5.7%. Rolling 12 months operating profit was over €70.8 million and operating margin was 5.7%. Car trade highlights in Q1. Market demand for new cars stayed muted. And Q1 first registration of passenger cars and vans were down by 7%. But first, registration of brands represented by Kesko, were up by 15.1% in Q1. Net sales and comparable operating profit grew clearly despite a challenging market, thanks to the strong new car sales in particular. New car sales continued to grow, thanks to the good sales of Volkswagen models ID.4 and ID.7. This is what we mean by balanced business portfolio. Last year the growth came especially from used cars and now the growth is coming from new cars. We are the only operator in the market that has such a strong position in both new and used cars, as well as services. Services include among other things servicing, damage repairs, tires and spare parts and on top of that, EV charging and leasing too. In Q1, used car and service sales also grew too. Net sales and comparable operating profit grew also in sports trade. Profit guidance and outlook for '25 remains unchanged. Profit guidance for 2025. Kesko Group's profit guidance is given for the year 2025 in comparison with the year 2024. Kesko's operating environment is estimated to improve in 2025, but to still remain somewhat challenging. Kesko's comparable operating profit is estimated to improve in 2025. Kesko estimates that its comparable operating profit in 2025 will amount to €640 million to €740 million. The profit guidance is based on an estimate of a gradually improving economic cycle in all Kesko operating countries. Key uncertainties impacting Kesko's outlook are developments in consumer confidence, investment appetites, as well as geopolitical crisis and tensions. And then outlook for the current year. In grocery trade, B2C trade and the foodservice market are estimated to remain stable. In 2025, the comparable operating margin for the grocery trade division is estimated to stay clearly above 6% despite the investments in price and the store site network in accordance with Kesko's strategy for '24-'26. In building and technical trade, the cycle is expected to improve in 2025 from the historically low levels. Profitability in the Building and technical trade division is estimated to improve on 2024. In car trade, the market for new cars is expected to stay at low level. Demand for used cars and services is estimated to remain good. Profitability for the car trade division is estimated to remain at a good level in 2025, despite weak demand for new cars. Well, this was my presentation. To summarize, the year has started off as expected. Of course, Kesko is not immune to the global uncertainties and especially consumer and business confidence are important, but it's good to bear in mind that we are not an exporter. The clear majority of the products we sell are from Finland or the Nordics and elsewhere from European Union. Despite the turbulence, I am positive and confident about the current year. We see construction recovering. And we see positive development in grocery trade too. Our strategic actions, like the price program are working well. We see the first signs of recovering market share development, but it takes time to see the full effect. Also, car trade is doing very well. I see the market situation in all three divisions better this year, compared to last year. I guess it's time for questions now.
Hanna Jaakkola: Thank you, Jorma for your presentation. And let's take the questions. Now we first turn to the conference call line. So please. The stage is yours.
Operator: [Operator Instructions] The next question comes from Calle Loikkanen from Danske BNK [Ph]. Please go ahead.
Calle Loikkanen: Good morning, everyone. And thank you for taking my questions. I was wondering about the grocery trade and the price program. So is there any way for you to quantify the impact of the program on the segment's results or margin?
Jorma Rauhala: Okay. Thank you for your question. And of course, I would say that there are three main reasons for grocery EBIT performance. First one is of course our price program. The second one is Easter timing of Easter. And it's good to bear in mind that this year Easter was mid of April. So both wholesale and retail sales come from April and last year it was opposite. And the third one is Kespro was it minus €1.5 million. So those three elements are the most important, but it was really much what we expected.
Calle Loikkanen: Okay. But you don't want to kind of elaborate on the impact of the price program itself?
Jorma Rauhala: No, not exactly. But of course, Ari, maybe you can tell a little bit more about how the price program has all-in-all worked.
Ari Akseli: Yeah. Thank you for the question. It has started well. If you think about the share of these discounted products, it's increasing by double-digits, which actually tells that these are meaningful products for the consumers. But at the same time, because they are in the lower prices you are getting less, sales at the moment. But in the long-term, if you look about how the development has going on it seems very promising. And especially when we are aiming in the long-term that we have bigger shopping basket.
Calle Loikkanen: Okay. Okay. That's very helpful. That's very helpful. And then, I was wondering about the kind of the timing of the impact from this program on margins. Is it fair to assume that the negative impact is the largest in Q1, and then that the impact kind of decreases over time as you get more traffic and more volumes and so on?
Jorma Rauhala: I don't know, Ari, do you have anything for that? But all-in-all, I see that it has started as we expected. And all-in-all if you look at the whole year, we are very confident that our EBIT level will be clearly above 6%.
Ari Akseli : The price program continues. And if you look about the future it's difficult to estimate how it affects. But I think that however the amount of the investment will be not exceed. It's very well organized. And I think that in the long term when customers start to trust to the price level they will increase the average shopping basket. So the impact start to be less negative.
Calle Loikkanen: Okay. Okay. Thank you. And then I was wondering about you mentioned in the presentation that in Q1 your market share was unchanged in the hypermarket segment. I was wondering about how about the other store segments? How did the market share develop there?
Jorma Rauhala : Yes. All-in-all if you look at this first quarter month by month our performance has improved. So, especially March was quite promising. And if you look at the whole quarter kind of hypermarket segment as we call Citymarket was in line with our hypermarket competitors. And if we also bear in mind that our store network is not so much positive not even in hypermarket segment. So that was very promising when it comes to hypermarket and in kind of supermarket and market segment we lost a little bit of market share. But all-in-all month by month our performance improved. And also now we can say that also April Easter time has been quite promising.
Calle Loikkanen: Okay. Thank you. That's good to hear. And then the final question for me. Building and technical trade, I was wondering that was Q1 a positive surprise for you in terms of growth? Or had you been expecting the market to turn already now in Q1?
Jorma Rauhala : I would say that it was pretty much what we expected. And all-in-all if we look Finland as an example we remember that 2021 2022 was very strong years. And then K-Rauta is the first one that the sales start to decrease. It was third quarter in 2022. And then Onninen followed six months later it was second quarter of 2023. And then very, very weak 2023, 2024. Then we reached the bottom let's say last summer kind of we reached the bottom and then figures start to improve a little bit still negative, but not so much. And now as we have also said earlier that we believe that especially this first half of the year our comparable figures are quite weak. And now we can see that there is a clear sales improvement in building and home improvement especially in K-Rauta in B2B side but also in B2C side. And we can see those signs that Onninen will follow. We can also see that the amount of tender request has increased. And we believe that second half of this year also on in we can see the positive sales, because already it can be even earlier. But it has been really much what we expected and also same pattern all the other countries. Denmark has been very strong, but also Norway has been quite nice. We have improved and we have been what comes to sales growth on market level and quite positive also in Norway.
Calle Loikkanen: Okay. Thank you. That's very helpful. That's all for me. Thank you very much.
Operator: The next question comes from Maria from Wikström. Please go ahead.
Unidentified Analyst: Yes. Thank you for the presentation, Jorma. I just wanted to double check one thing as I think in the summary slide you mentioned that you have started to gain market share. I thought you referred to the grocery retail but then you commented earlier that you expected the grocery trade market in Finland to have been flat in Q1 and your sales to K retailers declined by 1.8%. So can you a little bit get us a clarity what you meant by your comment in the summary section please?
Jorma Rauhala: All in all, I'm not sure what you mean. But all in all, if you look at the first quarter, we lost a little bit market share. And month by month our performance was better. But we lost some market share in the first quarter. But in hypermarket sector, if we look the first quarter, we was in line with our competitors in hypermarket sector. So that's very promising. And as I mentioned also April and Easter time, looks very promising. Of course, we haven't seen yet figures. But all in all, we lost some market share but hypermarket sector this is very important, especially when it comes to price program. We are in line with what it comes to competitors. Ari, would you like to continue.
Ari Akseli: Yes. And like Jorma mentioned earlier, if you look about the hypermarket segment, it is the most critical in the market. And actually the comparable sales of our, sales development was better than competitors. Better store network, yes.
Hanna Jaakkola: Add a bit more to if you look at like a longer perspective in 2023, we lost a bit more and then less in 2024. And now we can see the development, positive development there.
Jorma Rauhala: Still work to do but there are some positive elements we are seeing now.
Unidentified Analyst: Okay. Thank you. I just wanted to be clear on this one that I'm on the same page. Then I wanted to ask on the building and technical trade where the adjusted EBIT was up €4.9 million. But how much of this €4.9 million was from the first consolidated Danish acquisition?
Jorma Rauhala: Sami, do you remember? But if you look at the first quarter of what I remember, of course, Care out Finland was a strong one. Of course Baby chain was a strong one. And in Norway. In Norway, we have a good performance. Would you like to continue?
Sami Kiiski: Yes. It's coming from the builders merchant business and like Jorma said, Finland and Norway and Denmark, but not only through acquisitions yes.
Hanna Jaakkola: Are you Maria referring to that latest Ruslev acquisition in Denmark, which we included into our figures 1 of February.
Unidentified Analyst: Yes.
Jorma Rauhala: That was negative one.
Hanna Jaakkola: That was negative because there was fair value allocations. So no positive yet in Q1 but it will be going forward.
Jorma Rauhala: Yes. Davidson was positive but not this Yes, that's true.
Hanna Jaakkola: Yes.
Unidentified Analyst: Perfect. I mean that's very clear. And then I wanted to hear your comments. I mean given we clearly I mean you showed us the chart of K-Rauta and Onninen performance. And yes I mean there are some calendar impacts on the Easter. But do you think I mean there is a role of a quite nice March weather playing into a game that I mean a lot of the projects have started earlier than they would have last year? Or how would you come back the weather impact?
Jorma Rauhala: Sami, would you like to comment on that Jan?
Sami Kiiski: Yes. It's a little bit divide message, of course, in Finland because we didn't have winter. So we were lacking a lot of consumer winter products. So that was a quarter one, mainly also that we lost some sales there. But then I would say that particularly in Denmark the whole market first quarter was growing 7.5%. So there we can see that maybe some of the build construction work were started earlier and we were doing better than market also clearly in Denmark. But I would say a little bit divided message. So in Finland, we don't see so much effect about this winter. Might be some infra, but in big picture, not so much.
Unidentified Analyst: Perfect. And then finally, I think you gave a quite good answer, but I just wanted to double check that if I read you right, I mean you didn't see that you have much direct impact from the potential tariffs. It's more, I mean the impact what could come from a sentiment changes.
Jorma Rauhala: Yeah, exactly. Exactly. That's the case.
Unidentified Analyst: Perfect. I have no further questions. Thank you so much.
Jorma Rauhala: Thank you.
Operator: The next question comes from Miika Ihamaki from DNB Markets. Please go ahead.
Miika Ihamaki: Thank you for the presentation. On building and technical trade, can you also talk about your expectations of synergies of these recent acquisitions? Should we expect anything into this year?
Jorma Rauhala: Maybe I can start and Sami you can then continue. But, of course, I think what we have also mentioned earlier, most synergies when we are doing those acquisitions, it's happening inside one country. So there are not so much synergies between countries. And now we have Davidson and Ruslev and in tomorrow 1st of May we will have also this CF Petersen & Søn. And also we know that Tømmergaarden looks also very promising. So most probably we quite fastly will inform about that also. So there will be synergies especially, when it comes to sourcing prices when we, of course, we combine those volumes because our volume will be doubled. Those kind of synergies we will get already this year. But, of course, there can be some extra costs when we are having one organization, when we are having one common ERP system and things like that. But I would say that both sides there will be synergies already this year, but also maybe some extra cost. But all in all, Denmark looks very promising very promising. And but Sami would you like to continue something?
Sami Kiiski: Thanks, Miika. Good question. So it's like Jorma said, those are the in a way synergies and there might be some dis-synergies always as well also. But, of course, we need to remember that we are becoming a national-wide player. And there's some logistics which we see that we can serve more efficiently and much better our, let's say national-wide customers, but also some of the customers for example in Zealand or Copenhagen area. So these are also in a way synergies and important synergies. And, of course, then that we can serve our customers in general better. And, of course, like Jorma said also we believe that there are some synergies coming through purchases also and some cost synergies, but we will come back to those later on. But it looks promising like Jorma said and the market is picking up also in Denmark.
Miika Ihamaki: Okay. Thank you. And then if you could follow up with an update on your construction in Hyvinkaa, the logistics center that is due to be completed still this year giving you some efficiencies there. So will there be any financial impact on the numbers this year? Or is it latter tilted to 2026-2027? How should we think about this?
Jorma Rauhala: I would say so that there will be some extra costs this year when we are having two central warehouse, but that includes our guidance. And those synergies and those efficiencies we will get I would say that starting next year? Or is it so Sami? 2026 I would say?
Sami Kiiski: No, quarter 1, quarter 2. Yes, like I said of course those are in the business case and our guidance, but it will be so that there will be more costs involved during this year when we are building the capabilities, and of course, hiring the people and so on. But then next year we will see more efficiency coming through of course on.
Miika Ihamaki: Right. And maybe if I may last one on Sweden's profitability. You've been closing there several K-Rauta stores and technical trade now picked up in the first quarter. So can you just comment was the operation profitable? Or are we still seeing weakness there?
Hanna Jaakkola: Sweden?
Sami Kiiski: You mean Sweden?
Miika Ihamaki: Yes.
Sami Kiiski: So sorry, can you repeat the question? So what was the question?
Miika Ihamaki: The question in short was that was Sweden profitable in building and technical trade?
Hanna Jaakkola: I know that we don't give country-specific profit numbers. So maybe if you have another question about Sweden?
Jorma Rauhala: I can comment. That way last time when we were here we commented some issues what we have in Norway and also in Sweden. But I would say so that in Norway both Byggmakker and only in the technical trade looks now promising. We have solved those issues. Now the profit improvement is quite nice. In Sweden we still have work to do. All-in-all K-Bygg is doing okay but we have some problems with those eight stores that we are still converting from K-Rauta to K-Bygg. So they are not performing as well as we expected, but it's good to mention that it's our smallest country, smallest business only eight stores. So it's kind of limited that problem but we will solve that one. But Norway is very promising and good performance, but still work to do in Sweden.
Miika Ihamaki: Okay. Great. That’s all from my side.
Operator: The next question comes from Rob Joyce from BNP Paribas Exane. Please go ahead.
Rob Joyce: Hi. Thanks very much for taking the questions. First one just in the grocery space you referenced market inflation at around 1.8% in the period. Can you give us an idea of your own internal inflation and how that compares maybe to Q4 last year please?
Jorma Rauhala: About inflation, Ari?
Ari Akseli: Yes. If you think about food inflation in market for us you know 1.8% if I remember correctly. Food inflation in our store much lower because we had this price program and we actually discounted the prices. I can't give the exact numbers, but…
Rob Joyce: Okay. But closer to flat.
Ari Akseli: Yes. It's closer to flat.
Rob Joyce: Okay. Thank you. Very clear. And then the second one is just in the Building Technical. Poland, looks like a bit of a standout as actually going negative comp sales in the period. I just wondered, if there's anything you'd flag on the Polish market, what's going on there and what the outlook for the year is?
Jorma Rauhala: Sami, about Poland market, how you see it?
Sami Kiiski: Thanks, Rob. Good question. So Poland, the market actually, first two months, so market is minus 2% and we are doing a bit better than market in Poland. But the market is actually looking a little bit soft in Poland. We are doing pretty well there. But I would say, that it's a little bit too early also, like I said, it's a quarter one also there is a small quarter and maybe too early to make judgments for the whole year.
Rob Joyce: Okay. Sounds like a bit of a change, because it was very strong last year, right, but slowed down quite a bit.
Sami Kiiski: It was. But if I remember correctly, it was also so that the first quarter was a little bit also soft and then it started to pick up, a little bit better and we were performing well there. So it might be a little bit the same story. But it's also in Poland, so that the availability of money and also the interest rate is highest in our target markets or countries, where we are operating. So there's a forecast that the interest rates might go down also, during the spring or summer. So that might be the positive or will be the positive effect of course then. And if the availability of money is getting better so for the construction business, then it might be more positive than we see now.
Rob Joyce: Understood. Thank you. And sorry, just to quickly move back on grocery. Is my understanding then if we ex out Easter, probably a minus 2% minus 3%, you think volumes would be up in the grocery business?
Ari Akseli: I think that, it will be at least this 3% better impact for the volumes also in Easter time, because people are buying generally better food, bigger baskets in the Easter.
Rob Joyce: Thank you very much.
Hanna Jaakkola: Very good. Thank you, Calle, Maria, Mika, Rob for good questions from the conference call line. I will now have a couple of questions here from the chat function. First, Arto, is asking about the Easter too, like Rob was asking. Grocery trade Easter sales, is Easter sales generally more profitable than average sales? And this way, the decline in grocery trades profit would not be driven only by the declining volumes, during Easter. Arto, is asking.
Ari Akseli: Okay. Like I mentioned earlier, it's true that people are buying bigger baskets and more quality products for the Easter. So you can generally say, that it's more profitable. But also during the Easter time, there is a lot of campaigns and prices are discounted. So it's like a mix of these two effects.
Hanna Jaakkola: Thanks, Ari. And then Svante was asking could you elaborate on the Senokai late reporting? Senokai posted a minus €0.4 million contribution last year in Q1. And is it fair to expect, that the actual numbers are not materially worse than zero?
Jorma Rauhala: Yes. Okay. When comes to Kesko Senukai, as we mentioned they did not report their financial as scheduled. And of course, it's also clear that we still have some disagreements with the other owner and what comes to management and the strategy of the company. But we are actively seeing a solution to this situation. And all in all, Kesko Senukai joint venture our share was last year it was €20 million. And this first quarter was last year minus €0.4 million and now we are reporting that as a zero. But we don't expect anything because we haven't got those actual figures yet.
Hanna Jaakkola: Very good. Thank you, Jorma. And I guess that was all the questions. Thank you everybody. I wish you all the greatest 1st of May and any final comments or thoughts Jorma for the audience?
Jorma Rauhala: Thank you. Thank you for the question and discussion. And all in all, what we have mentioned, the first quarter of course is the quiet quarter clearly the quiet quarter of our business. But all in all, it was pretty much what we expected. And to be honest, I'm quite confident what comes to the future. So, thank you all and have a nice day on the 1st of May. Thank you.